Operator: Good day and thank you for standing by. Welcome to the Iluka Resources Limited 2021 Full Year Results Conference Call. At this time all participants are in a listen-only mode. After the speaker's presentation there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your first speaker today Tom O'Leary. Thank you, please go ahead.
Tom O'Leary: Thank you and good morning. With me in Perth today are Adele Stratton, Matthew Blackwell and Luke Woodgate. We're looking forward to discussing with you what I think is an excellent set of results delivered by Iluka in 2021, not to mention a substantial agenda ahead for the company. But before getting to that, I'd like to acknowledge the announcement made by Chairman Greg Martin that he'll retire from the Board in April. Break all the part Iluka having made a significant contribution to the company over the last decade. He's called out a few matters of note in today's ASX release and while I'll have more to say on Greg contribution at the AGM, I will take the opportunity this morning to put on record my thanks and appreciation for Greg supports since I joined Iluka, five and a half years ago. Rob Cole will be succeeding Greg as Chairman. And I look forward to working with Rob during what I think will be an exciting time ahead for the company. Those of you familiar with our business will know that for some time, we've been discussing challenges facing the mineral sands industry. In particular, we've talked about challenges due to declining production because of mind depletion, and there remains no substantial new capacity coming online in the near term. We've commenced today's deck with a refresher on these challenges at Slide 4, not least because over the past year, we've seen their market implications on practical display. With those covered on Slide 5, the current mineral sands marketplace is characterized by constrains, supply and steady demand with this dynamic playing out in the context of a global environment defined by COVID-19 geopolitical strategic competition, generalized and political uncertainty for example, in South Africa, and the increasing momentum towards electrified low carbon economy. So what's been our approach and what's it delivered? First, you can't hope to do anything for long if you're not doing it sustainably and you'll see our approach and achievements in this area outlined on Slide 7 and 8. Reducing serious potential injuries has been a very specific safety focus for Iluka over the past couple of years, and I'm pleased to report a 25% decrease for 2021 which was achieved alongside a similar decrease in our total recordable injury frequency, rate. We've released a position statement on climate change and our approach on that, as you'd expect is measured. Obviously, our plans around production of separated rare earth oxides would see as being a facilitator of global efforts of de-carbonization through electrification.  At the same time, we'll continue to work on the carbon challenges associated with our existing mineral sands business are identifying the solutions and technology advancements that will be required, and then fitting work programs to target their achievements. Rather than making general statements of ambition, we think it's important that there is first a reasonable basis to expect if they can be achieved. We have made incremental steps during 2021, including the commissioning of a 3.5 megawatt solar farm Jacinth-Ambrosia in the latter part of the year. While this addresses only a fraction of our overall emissions, it's nonetheless a potential blueprint for the use of renewable power sources at other sites. Slide 9 summarizes the operational flexibility we once again demonstrated in response to market conditions over the course of the year. In Australia, we returned to maximum operational settings in April with both the Narngulu separation plant and synthetic rutile kiln 2 at Capel running in full capacity. In Sierra Leone last month, we withdrew our notice to suspend operations on the back of improved production performance delivered over the second half, and parliamentary ratification of amendments to zero rutile fiscal regime. I'll now hand over to Adele to cover the financial results, which reflect the commitment of our workforce. The team has been resilient in the face of the threat of ongoing disruptions presented by the pandemic. And while we can expect that resilience to be further tested over the coming year, particularly in Western Australia, we do so with some confidence given our achievements today, over to you Adele?
Adele Stratton: Thanks Tom and good morning. Key aspects of our financial performance are outlined on Slide 10 to 13. And I'll keep my commentary brief, because I think the numbers really speak for themselves. In short we achieve material increases in underlying NPAT of more than 100% revenue up to 57%, EBITDA up 85% and free cash flow up more than 700% relative to 2020. Unit cash costs of production and cost of goods sold were also both down. The results have contributed to a further strengthening of our liquid balance sheets. Our net cash position was $295 million at 31 December. We also have significant funding headroom with total debt facilities of $512 million, which is important in the context of our development pipeline, and that Tom will return to shortly. Our final dividends of $0.12 per share fully franked reflects our updated dividend framework, which is to pay 100% of dividends received from Deterra royalty and pay a minimum of 40% of free cash flow from the mineral sands business not required for investing on balance sheet activity. As you can see from our outlook slides, were expecting to deploy over $200 million in capital expenditure this year. So we'd consider that when determining the final dividend amount. Given 2021 was offered full year reporting period since the Deterra, we thought it was highlighting the contribution of our 20% stake, which you can see on Slide 14. This included $15 million in total dividends received by Iluka during 2021 which equates to a $0.035 dividend by Luca shareholders. Production from BHP South Flank development is yet to fully ramp up. Based on Deterra's recent market capitalization, Iluka stake is worth around $0.5 billion, providing as a significant additional source of long-term financial strength. And with that, back to you, Tom.
Tom O'Leary: Thanks Adele. Iluka performance in 2021 included important progress throughout our project pipeline which is covered on Slide 15. Collectively, these projects are caught in delivering our response to the challenge of declining industry production both in the near and long-term. And across our products were the Zircon high grade titanium feedstocks and rare earths. Last year, we took decisions to restart synthetic rutile from Narngulu, Capel which will be offline at the end of the year, commenced a definitive feasibility study for Balranald in New South Wales and announce a resource estimate for Wimmera in Victoria. A letter to decisions reflects our sustained focus on mineral sands technical development in Australian jurisdiction, highlighted on Slide 16 with each of these projects and their technologies having the potential to transform our industry. In line with a macro view of mineral sands markets I touched on earlier. Slide 17 and 18 provide some additional detail on the general tightness we're encountering at the moment. We've seen significant pricing traction over the past year with customer's increasingly prioritizing security of supply. This underscores the importance of our approach to pursue a sustainable pricing environment for our product something Iluka has been doing for a number of years. And that takes us to our emerging position rare earths, which is covered on Slides 19 to 22. As we recorded in our quarterly last month, our uptake obligations for Phase 1 will be met in full and our completed. Phase 2, which will produce a direct feed for a rare earths refineries in the latter stages of construction with commissioning scheduled in the first half. The feasibility study for Phase 3, a fully integrated rare earths refinery it's substantively complete from a technical perspective and will be finalized by the end of Q1. We received key environmental approval in January and our discussions with the Australian Government on potential risk sharing arrangements to deliver Phase 3 are ongoing in parallel. I'm not in a position to provide further detail today, because in the context of our ongoing discussions with the government that would not be appropriate. 2021 saw rising prices for rare earths with demand expected to increase markedly as the world pursues electrification. The fastest growing application for rare earths is for the production of permanent magnets which are essential inputs for sustainable energy technologies such as electric vehicles and wind turbines as the highest grade operation globally any other provides an enviable foundation for Iluka's diversification into this market. That foundation is complemented by the Wimmera development which as you can see on Slide 22, has a very similar assemblage to any other public mode throughout [indiscernible] and could offer an attractive long-term source of feed for Phase 3. As outlined previously, Phase 3 is also being designed specifically to be able to process feedstocks from a range of third-party development. To sum up Iluka is positioned to lead in the response to industry and market conditions both near and longer term through our operations development pipeline, financial strength, marketing approach and products. And this was demonstrated I think by the excellent results we achieved in 2021. With that, I look forward to your questions.
Operator: [Operator Instructions] Your first question comes from Rahul Anand from Morgan Stanley. Your line is open.
Rahul Anand: Hi, Tom and Adele, thanks for the opportunity. Can I perhaps start with the current guidance, please, for calendar year 2022? I just wanted to see if you can provide some color around how much of that might be ZIC. And then I presume JA is probably running at higher than reserved grades this year still? How long can you maintain that position in terms of staying above reserve grade? And when do you revert back? That's the first one I'll come back with a second? Thanks.
Adele Stratton: Yes, thanks Rahul so Jacinth-Ambrosia concentrate Rahul, we've guided across the group with 80,000 tonnes is coming concentrated included in that collection guidance, so 75,000 tonnes in Australia, and then the remainder from the Sierra Rutile. In terms of the Jacinth-Ambrosia, and what you said the intention to return to Ambrosia in the latter part of 2022 so I think it's around our, August, September mark. And so they'll be depleting completely just at north where we currently are and that's in that lower grade aspect and then returning back to Ambrosia which will be a slightly higher grade. So you know, as was said before, we can sort of see outlook for the next couple of years probably being consistent with what we've guided at the moment. There's no rationale in terms of the great drop off, but just for the next couple of years.
Rahul Anand: Okay, that's very clear thanks. And then the second one is on Sembehun saw the updated reserves there, obviously a better grade lower tonnes and perhaps a somewhat lower rutile estimate there. So clearly, I mean, you're trying to improve the grades to improve economics by the looks of it. I just wanted to get an update. I mean, I think the last report was the first time that a demerger also seems to be an option for the assets. Can you perhaps update us on how the process is looking currently, Are you actively looking to develop there or has the strategy now change to perhaps more of divestment?
Tom O'Leary: Although Rahul as always, what we do with Sierra Rutile is all about optimizing value. And you touched on sort of thinking around the possibility of demerger, and so on. But what I'd say is that no subject to achieving and FID on our Phase 3 development in the Eneabba with rare earths we're in for an incredibly busy few years ahead. And for Sierra Leone, as you say, we've updated the rutile of the reserve information there. And they have the Sembehun development to optimize. And when we're thinking about that, we're also aware and contemplating the recent changes to the fiscal regime. So the team is also busily identifying what additional resources in area one might now the economic to extend life and that's opening up no options around Sembehun. So there's a lot - a lot to do thee and material capital allocation decisions to come. So you know, we're continuing with our process, as well. Now we're considering demergers, as we've seen. If we didn't see that it would create an Australian company focused on critical minerals in Australia. And a separate West African company focused on optimizing area one sand Sembehun. So look the way the things we're considering and as I said, it's all about optimizing value.
Rahul Anand: Perfect. Okay and last one for me is around projects. So Atacama, Euston, Wimmera so all sort of sitting in the same select section of your Slide 15. Atacama is one which has been talked about for a long time, I just wanted to understand, has there been any movement in terms of trying to find a solution for processing out that asset, or does Euston now become your primary, if I want to put it that way, maintenance opportunity in terms of volumes?
Tom O'Leary: Oh Rahul I think you know it's better than we've been sitting with our hands worrying about Atacama, we've been actively engaged in setting and developing, in fact, the answers into developing a technology solution to treat the impurities in the human eye. We flag that previously but Atacama it's got quite a reserve, but it's also very dominated by [indiscernible] does have some impurities. And we're pleased with the progress that's been made in that regard. And that's one of the reasons why we're pushing forward with PFS and the various components that go into that. So we're certainly not giving up on that Atacama the opposite. And we've got a team working on that we've got a team working on Euston. And that's one of the great advantages of Iluka compared to some of our competitors, is we're not a one mine company. We don't only have one option. We will progress these through PFS so that we can make the best risk weighted commercial decision for our shareholders.
Operator: Your next question comes from Paul Lian from Goldman Sachs. Your line is open.
Paul Lian: Thank you, hi, Tom Adele, Matt, and Luke. A few questions on the market to begin with Tom because start with [indiscernible] high grade feedstock pricing. I know you made the comment in the presentation around achieving low double-digit price increases with pigment customers and I think a 25% increase with welding customers. Can you just confirm is that just to this for the June half?
Tom O'Leary: Yes, look - we currently have pricing is on a six monthly basis for high grade feedstock. certainly pigment. Some welding might be shorter than that. But that's the, that gives you an indication of where we're heading from the weighted average of last year.
Paul Lian: Great and welding sales at what 10%, 15%?
Tom O'Leary: Sorry?
Paul Lian: Welding sells around 10% to 15% of volumes?
Matthew Blackwell: [Indiscernible] out probably more like 10%, no it's not 10% to 15% would be right yes.
Paul Lian: Okay, great. Thanks, Matt. Second question on the zircon market extremely tight market conditions I mean, as you point out now in immaterial across produces customers, you know, robust demand in China, and also Europe, we had European tranche make comments last week about the potential for, you know, further price rises this year? What's your view Matt on the markets ability to base on what you're saying, to actually absorb further price increases? And obviously understand that you're trying to create price stability, but just you're interested in your thoughts on further price rises?
Matthew Blackwell: Yes look I'll answer that in two parts. First of all, our lawyer's advised very strongly not to talk about what the prices might do in the future. And that gets you into dangerous territory, but to the basis of your question about the capacity and the capability. We're seeing, for example, calcined alumina prices, which is one of our substitutes for zircon in Spain, almost doubled in price over the last sort of six, 12 months. And so obviously as the price of substitute moves up, that creates headroom for things like zircon. What we're also seeing is a trend, as we alluded to in the quarterly pack towards the large format tiles. When you have targets three meters by two meters breaking one of those is the equivalent of breaking 33 normal sized tiles. So you want better quality, better strength. And we've seen an increase in zircon loadings going into those larger format tiles of premium circles. So that's all positive. And I think what we see is a, you know, underlying strength and demand for premiums circa for the market going forward.
Paul Lian: Great, thanks, Matt, further questions on any other Phase 3 in the refinery, Tom, obviously, we're all waiting with anticipation on the results from the from the feasibility study in the June quarter. Can I ask around the capital guidance so maybe it's question for Adele around the 260 million Aussie, you're so capex guidance for the year what's included any other Phase 3 in that number?
Adele Stratton: Just read there the finalization of a feasibility study before.
Paul Lian: Okay, so any capital as far as you know getting started construction would be in addition to the 260?
Adele Stratton: Yes that 2020 also it got obviously, the completion of the Eneabba Phase 2, which is under construction, and the feasibility study for Phase 3, and obviously, I think we've drawn out some of the expenditure models going around progressing those solutions, but yet nothing more in relation to an execute decision for Phase 3
Operator: Next question comes from Jack Gabb from Bank of America. Your line is open.
Jack Gabb: Thanks and good morning Tom, Adele and team. Couple for me, just firstly on [indiscernible] pricing, can you give us any sense of what pricing is looking like for Phase 2 material?
Tom O'Leary: But Jack we've stated that we're holding back on our decision whether we will treat Phase 2, depending on the outcomes of Phase 3 but the stock market for [indiscernible] today in China is $10,000 per tonne. So certainly higher than when we anticipated and approved the expenditure on Phase 2.
Jack Gabb: Thanks. And then secondly, just on ilmenite. Obviously, if I grow feedstocks in short supply, are you seeing increased demand for ilmenite sales? And I guess how does that make you think about pricing and your need to source feed for us that one?
Tom O'Leary: Yes Jack, good questions. And yes, there is further - there is strong demand [indiscernible] there's strong demand for all feedstocks, particularly high grade feedstocks. And with regard to ilmenite, we have been able to secure through external and internal predominantly internal sources, sufficient feedstock to run so one for at least two years.
Jack Gabb: Okay, thanks. And then this last one I call it imposed on the CapEx. You know, even if we ex out the various studies that you've broken out in your presentation, plus the ASR 1, restart the CapEx in Australia, still I think three times what it was last year, Can you provide any different color on what's driving that you know, some of it, I'm sure its inflation. But is there anything else material within that number that's driving the big increase relative to 2021?
Adele Stratton: Yes, so Jack, just in terms of when we went to Ambrosia yes with deferred capital. Now we're going back to Ambrosia just as I mentioned earlier, and then that deferred capital had to spend there. I think it's a $20 million mark. So you know back that's all spent we went into sort of a pandemic, and we moved back to distance. One of the drivers behind was that to defer some of that cash spend so that's was coming out in 2022.
Jack Gabb: Okay, perfect. So we won't assume that that carries on, I guess a little bit 2022 number drops down materially and 2023 all else being equal?
Adele Stratton: Yes, that's right.
Operator: Your next question comes from Peter O'Connor from Shaw and Partners. Your line is open.
Peter O'Connor: Tom, Adele, Luke, congratulations on a great result. Firstly, dividends Adele passing through the Deterra. How do I think about timing based on what they've announced you pass through or what you receive, you pass through I asked that with relation to another company we cover to pass through dividends and there's been a quirk with timing?
Adele Stratton: Yes, so it's dividends that we actually with the data so you know, what comes into our free cash flows, is the money that we get from the deferral and that's what we'll be pushing through 100%.
Peter O'Connor: So effectively, a six month lag between what you get to what you pay out okay. And Tom, the balance sheet, Slide 13 it's a great slide. You're down at the complete opposite end of that chart to where you were previously which is great, what's appropriate? And maybe a lot of spin coming and you've got cash on the balance sheet and ample liquidity. What's the right capital structure for this company?
Tom O'Leary: Yes it's really interesting question. Peter as appraise in Phase 3 in particular. What we've said is capital structure and input on many occasions is that we want to retain the buyer power from commit its ability to make capital expenditures when significant capital expenditures when required, but we want to be able to repay those relatively quickly. And certainly that's the approach we're taking with the mineral sands business on what would be a very significant capital expenditure in any other Phase 3. We have as we've discussed, engaged with the government on a risk sharing arrangement for that development. So as I said, I really am not in a position to go further on that today but that will clearly if that go ahead demonstrate a pretty material change to balance sheet structure going forward.
Peter O'Connor: Okay and to Slide 5, where you run through the waterfall and one of the bars is next to one of the columns with changing mix. Now you commented in the release about the processing, low grade material, low cost material. What point did the company review their pricing given the way that outline the market trend and the market pricing? Is the pricing getting used for studies appropriate should it be higher and is there element of low grading in that change of mix given FICO?
Adele Stratton: [Indiscernible] waterfall Slide 11 about sales of mix up there?
Peter O'Connor: Sorry yes 11 got it perfect Adele yes.
Adele Stratton: [indiscernible]
Operator: Your next question comes from Hayden Bairstow from Macquarie. Your line is open.
Hayden Bairstow: Yes good morning guys. Question Tom just on the CapEx I think we go back to when you sort of started, you sort of tucked-in pretty hard into the resource development spend and pull it back a fair bit. I mean, with all this CapEx spending on these projects this year is because that now that that money seemed to just disappear into previously, but just keen to understand what are we hoping to be delivered, say this time next year from all that spend and we're going to get economic feasibility studies and changes to the medium term production outlook for Australia mainly is that what we should expect to save from all these projects?
Tom O'Leary: Look, I'll hand over to Adele in a moment, Hayden but we're not expecting that may disappear into that you'll be pleased to hear. We're actually looking for better clarity. On our, as you point out our medium term, medium and longer term production profile, in particular our Wimmera deposit, we're working on feasibility and looking for power comes from that. This calendar year, would be desirable. So I will be looking at, again an execute decision, potentially in Q4 this year, and significant progress on that Atacama. So I think these studies, were undertaking are really core to our future. And as I've said on a couple of occasions before, over the last few years, we've been making really significant progress on really meeting the very difficult technical challenges posed by some of those departments. And that's really kind of emboldened our pursuit of development. So I think it's going to be really interesting year this year in what we're going to turn. Matt you're taking on.
Matthew Blackwell: Yes look, a couple of things, I'd say Hayden, that I draw you back to Slide 4 and some of the challenges we face in depleting grades and depleting supply globally. For example, in the area of zircon, less than 45% of potential new deposits would actually change the bar today in terms of meeting the uranium and thorium requirements. So what we have been doing is we've been actively. We identified these, year ago and we've been actively working towards a solution to deliver premium zircon products from deposits that today are ineligible for pretty much every market across the globe. And that will change our port has potential to change our portfolio quite considerably and open up the Murray Basin resources. As Tom said, by the end of the year, we should have the investment decision on Balranald. I mentioned earlier at Atacama. Yes, there's a bit of lumpiness of capital in there, you've got ASR 1 in there, which is in execute. And that gives us 110,000 tonnes of additional high grade ore capacity, which is the only short-term high grade ore capacity that can come to the market. So these are all very targeted activities. As we look out into the medium to long-term future for our industry.
Hayden Bairstow: Okay and on rare earths project, I mean, the bullet point just on actively engaging with the government, and you're pretty much done everything you can do here from what I shoot getting EPA approval, et cetera. So the discussions around government case, green debt or the tax breaks, and what are the discussions around?
Matthew Blackwell: Look hey Hayden I can only reiterate somewhat over the last couple of years, we've been engaging with government, because we thought there was strong alignment between our own commercial position and, and the government's critical mineral strategy and past manufacturing strategy. And we continue to be encouraged by engaging the government. The essential nature of that alignment has only increased I think, over the last couple of years imperative to diversify supply chains is stronger than ever. Look, I look forward to updating you further when, when developments permit.
Operator: Your next question comes from Matthew Hope from Credit Suisse. Your line is open.
Matthew Hope: Thanks so just have a couple of questions firstly, [Balranald just wondering impurities Balranald same in the Murray Basin] [indiscernible]?
Matthew Blackwell: Yes, it's a different impurity Matt so Balranald, the Balranald and Murray Basin deposits, you know, they're slightly different ilmenite there are different geological segments. We've got sand – we have worked with uncomfortable that working confident now working towards solutions for both.
Matthew Hope: Right okay, thanks. And then you've got those southwest deposits. I just want to understand what they are and there is significance and just [ilmenite deposit] the synthetic rutile kiln are upgrade them yes significant high grade [indiscernible]?
Matthew Blackwell: Yes, look they are predominantly ilmenite Matt with some zircon credits. And they're what we call sort of an enabling ilmenite. So then when you blend in with other ilmenites across the portfolio, they're helpful not essential but helpful.
Matthew Hope: Right and they are not part of dissolution total run ASR 1 because they are not be directly?
Matthew Blackwell: No, no, no there's no undercover deposit that is part of the solution for ASR 1 in the next couple of years.
Matthew Hope: Right and then finally, just on zircon on demand, you talked about yes growing growth in India for the tiles there and is the county okay. I just wanted to understand how significant are they to Iluka portfolio because you still largely selling into tile market and China's most important that part of that some of these significant markets?
Tom O'Leary: India is one of the couple of comments there, first of all, with the very deliberate I'll say geographical we are certainly less overweight China than we were previously. Yes, we sell product, we sell a large portion into the ceramics market because that's a market that demands premium zircon, it gets good quality material, but so [indiscernible] and some refractories, which we have strong positions in as well. And those markets are not only in China, they're also in the United States and in other locations, North America, tiles in India. India is big manufacture of tiles. You know, we're not significant in India. But we're selling out of the Malaysian warehouse into a number of Southeast Asian countries that are exporting also [indiscernible] places like Bangladesh, which are growing markets. One of the things that occurred over the last couple of years is basically the democratization of tile manufacturing. So the large format tiles which came out of Italy originally, and then into Spain, you can now order one of these machines from system, an intelligent producer, had it delivered into India to produce reasonably good quality tiles. And so, we expect to see an uptick in manufacturing outside of China, particularly as Chinese exports have slowed dramatically in the last couple of years.
Adele Stratton: And, Matt, holding just back to the sort of Southwest deposits just what we've actually done our website is a little bit more of a detailed breakdown of our resorts and reserves. So if you just go onto the website, there is actually a breakdown of some of the Southwest deposits on that. And you have problem with [indiscernible].
Operator: Your next question comes from Levi Spry from UBS. Your line is open.
Levi Spry: And thanks for the call, just a question on the Wimmera PFS so can I confirm the delivery date of that?
Adele Stratton: Yes, so it will be found quite significantly progressed through this year. [indiscernible] you know, early part of 2023 probably providing more insights towards that.
Levi Spry: Early 2023 okay, thank you. And so just moving back to the Phase 3, Eneabba so just understanding the scope, they're highly anticipated. We can finally get to look at it, but just understanding the scope for the FID, so will it be based only on the inventory that's at FID or ex Wimmera because he wanted done a study on that yet an ex third-party material but with the government help so how I think about it?
Tom O'Leary: Yes so the initial fee for the refinery would be say source from Eneabba to be clear that the at the refinery has been designed to be capable of processing for Wimmera material which is pretty similar post higher in dysprosium and terbium. But also non-mineral sands feedstocks from around the place. And we have done testing in the line to ensure that that design capability is clear. So when the border says that it will be looking at Eneabba feedstock, the prospect of Wimmera feedstocks, and the prospect of Eneabba stocks to come in the future.
Operator: Your next question comes from [indiscernible]. Your line is open.
Unidentified Analyst: Good morning, Tom and team. Thanks very much. Just wanted to talk a little bit about the zircon pricing guidance you gave I think up to 20 realize 200 of it. I think the guidance you give is on a CIF basis and I was under the impression freight rates for maybe staying to 80. So I thought you might have actually got the full price benefit and clawed back some of what you lost last year. Could you maybe just talk through what's happening with freight and maybe logistics as well, just on the on the business sense and how that's flowing through? Thanks.
Matthew Blackwell: Yes sure Dwayne it Matt here on that 200 that's, you know, on top of where we ended up, sort of at the end of last year, right. So we when we the last price rise, went through, had a component of freight and realized price in it what we report is and FOB price, a realized price. Our prices can be when we talk about our end price, we actually use the reference price, which is two times fixed on a warehouse it's what our customers see. So that might be on a CIF it might be in a VAT basis. It's whatever that is freight rates generally absolute both has come off a little bit when you're talking Panamax sorry not Panamax, larger vessels, sort of Panamax and larger, but the handy sizing is, not coming off like one would expect nor our container rates. So there's still considerable dislocation in global freights. And there's, no new ship bills that got sort of. There's a low percentage ship bills. So what we expect to see is probably higher freight rates through the first half. And then after that, we'll be reassessing again. But it's still a very difficult market out there. And if you're trying to shipping is around the containers, we don't do a lot of that, and particularly from Australia. It is a difficult market to secure at the moment.
Unidentified Analyst: Okay, so can I just clarify then, Matt thanks for that. So if freight falls, we should see price rises, net to you freight falls because your freight cost goes down. So even if you don't put through any more price rises, it could be more revenue gain for us in 2022 and beyond as freight normalizes is that the correct takeaway?
Matthew Blackwell: That's certainly the way to think about zircon because we saw a lot of that out of our warehouse globally, some of that TR2 contracts [indiscernible].
Unidentified Analyst: Okay, and then just you've made containers are difficult to me you don't do much in containers, but from a logistics point of view, is there any risk that you know, you've given production guidance, but do you see is there risk on sales, given logistics channels issues?
Matthew Blackwell: No, the only that we sell through containers out of places like Malaysia, which has got better access to containers for on the CO2 and container sales at Australia and limited pretty much to activated carbon core product. We might see some short-term disruptions in the first quarter, first half, but posts that we've seen Indian container shortages so nothing on CO2 or zircon out of the container shortages.
Unidentified Analyst: Okay, so essentially 2022 is sales, hopefully equals production, giving you inventories in a good shape. And then maybe some margin expansion from freight rates falling is the way to think about it?
Matthew Blackwell: Yes, that's a good way to think about it Dwayne.
Operator: Your next question comes from Paul McTaggart from Citigroup. Your line is open.
Paul McTaggart: Good morning all. So I know, early stage theory told you thing about options and maybe kind of a spin out. If it did go to that, would you be looking to maintain a controlling position or you know, sell down to a minority position either Deterra?
Tom O'Leary: Look Paul I think it's bit early to be talking about that. But what I would say is that it would be quite difficult I would think from a competition perspective to me having two companies one with the shareholding the other that both had material interests and the retail market.
Operator: Your next question comes from Paul Lian from Goldman Sachs. Your line is open.
Paul Lian: Hi, again, just a clarification on Matt on retail pricing. The double-digit percentage increase for this half is that is that based off the December half average or after December quarter achieved price?
Matthew Blackwell: Not full year Paul?
Paul Lian: The full year number?
Matthew Blackwell: Yes, yes because we understand.
Paul Lian: Understand that's helpful. And then Tom a question on back on any other Phase 3 you've done a lot of work on as far as the test was concerned over the years. And that's still ongoing. As far as PowerPoint work is concerned, et cetera. And yes, this is going to be a quite a large refinery, a 15,000 to 20,000 tonnes of rare earths oxides and or carbonates, can I ask you not going upstream can ask you about the downstream and particularly the offtake? And you don't want to work on the rarest market in the last couple of years as well. But how do you think about conceptually, where this material might go, as far as you know, who's going to produce the metal, who's going to produce the magnets?
Tom O'Leary: Yes good question, Paul. And again, to reiterate a little bit what I said earlier but in terms of I am going to wanting to comment further at this point, that there's a little bit of confidence that there is a significant growing demand for these products. And in terms of the specific question around metalization, and magnetization, I think they're part of the supply chain that are emerging as well. And we would also contemplate certainly metalization has something within a Iluka field of view.
Operator: There are no further questions at this time. I would now like to hand the conference back to today's speakers. Thank you. Please continue.
Tom O'Leary: Thanks and thanks all for joining the call this morning. I look forward to keeping you abreast of our development pipeline. There's a lot of interest in it. And I'll get to speak to a lot of you individually over the coming days. Thanks again and have a good day.
Operator: This concludes today's conference call. Thank you for participating he may now disconnect.